Operator: Good day, ladies and gentlemen and welcome to the Q1 2018 Huntsman Corporation earnings conference call. My name is Matthew and I will be your operator for today. At this time, all participants are in listen-only mode. We will conduct a question-and-answer session toward the end of this conference. As a reminder, this call is being recorded for replay purposes. I would like to turn the call over to Mr. Ivan Marcuse, Vice-President of Investor Relations. Please proceed, sir.
Ivan M. Marcuse - Huntsman Corp.: Thank you, Matthew. Good morning, everyone. I'm Ivan Marcuse, Huntsman Corporation Vice President of Investor Relations. Welcome to Huntsman's first quarter 2018 earnings call. Joining us on the call today are Peter Huntsman, Chairman, President and CEO, and Sean Douglas, Executive Vice-President and CFO. This morning before the market opened, we released our earnings for the first quarter 2018 via press release and posted it to our website, huntsman.com. We also posted a set of slides on our website, which we will use on the call this morning while presenting our results. During this call, we may make statements about our projections or expectations for the future. All such statements are forward-looking statements and while they reflect our current expectations, they involve risk and uncertainties and are not guarantees of future performance. You should review our filings with the SEC for more information regarding the factors that could cause actual results to differ materially from these projections or expectations. We do not plan on publicly updating or revising any forward-looking statements during the quarter. We will also refer to non-GAAP financial measures such as adjusted EBITDA, adjusted net income or loss and free cash flow. You can find reconciliations to the most directly comparable GAAP financial measures in our earnings release, which has been posted to our website at huntsman.com. On May 23, we will be hosting an Investor Day in New York City, where we will be discussing our strategy for each of our businesses and expectations looking out the next few years. If you would like to attend, please contact Investor Relations to receive more information about this event and to also register. In our earnings release this morning, we reported first quarter 2018 revenue of $2.3 billion, adjusted EBITDA of $405 million, and adjusted earnings of $0.96 per diluted share. I will now turn the call over to Peter Huntsman, our Chairman, President and CEO.
Peter R. Huntsman - Huntsman Corp.: Ivan, thank you very much, and thank you, everybody, for taking the time to join us this morning. Let's turn to slide number 3. Adjusted EBITDA for our Polyurethanes division for the fourth quarter was $261 million. Our MDI Urethanes business, which includes our propylene oxide, polyols and system businesses recorded adjusted EBITDA of $245 million. This compares to $148 million of a year ago, and $291 million for the previous quarter. Our MDI Urethanes delivered 10% volume growth year over year, demand remained strong, and we continue to operate at a high rate of capacity. Let's turn to slide number 4. Our strategic focus of growing our downstream specialty and formulation businesses remain unchanged as we shift more MDI from components to systems. In first quarter, we saw 15% year-over-year growth in volumes within our differentiated business. Looking at growth, regionally in the quarter, our North American volumes increased 14%. The strong volumes were primarily driven by our composite wood products, insulation and adhesive sectors. With our China expansion gradually ramping up, some North American product previously earmarked for China is now being freed up, enabling stronger growth in North America. Demand remained strong for our MDI in this region, and we expect to show a positive rate of year-on-year organic growth in North America throughout 2018. Our European region MDI volumes increased 11% in the quarter. We saw growth across all of our key European markets, including our differentiated insulation systems business, along with our ace (00:04:23) and automotive businesses. India, the Middle East and Russia also continue to see double-digit growth. Asia volumes increased 4% versus the prior year, as we remain capacity constrained in this region. Our new China facility continues to start up, which we expect to take a period of about nine months to reach full capacity. We will bring on this new capacity as market dictates. Fully in line with the market conditions that we described in our last earnings call, our component business continues to benefit from remaining spike in margins, specifically in Asia and to a lesser extent in Europe. As expected, as the result of industry outages being resolved and new capacity entering the market, the short-term spike in margins was reduced. We estimate the remaining benefits of the short-term spike to be roughly $40 million, which is less than half of the benefit we saw in the fourth quarter. We expect that potentially half of the remaining $40 million will be lost in the second quarter and the remainder throughout the rest of the year. However, this will be partially offset by strengthening MDI systems margin and the gradual addition of higher Asian sales as our new Chinese MDI capacity comes on line. It is very important to point out that the industry remains tight globally and any significant unplanned outages could cause the return of short-term margin spikes, as we have seen in the past. Recent demand for MDI is growing at about 6% to 7% globally on an annual basis. As such, in order to keep up with this expected demand growth, industry capacity needs to expand at about 400,000 (sic) [400] kilotons annually. This is the equivalency of a world-scale facility per year. With recent announcements of additional debottlenecks within the industry and coming into the market in the next three years, and assuming a timely delivery of such expanded capacity, we believe capacity will grow at 5% per annum between now and 2022, which is still short of the expanded demand growth of 6% over the same timeframe. Therefore, industry supply/demand dynamics will remain tight for the foreseeable future. This may be a new normal for the industry. As we have good visibility, do not see any greenfield capacity entering the market for years to come. Regardless of possible periods of tightness in the future, we are focused on what we can control. We remain steadfast in our strategy of moving more of our business into stable and higher margin derivatives and formulations. In addition to our organic initiatives, we will continue to look for value creating and creative downstream bolt-on acquisitions that allow us to pull through significant volumes of lower margin polymeric MDI into more specialized and higher margin formulations. These acquisitions will give us entry into new markets and an opportunity to leverage our global platform to grow the existing business. We have a proven track record of downstream urethane bolt-on acquisitions that provide significant synergies through MDI pull-through and global scale-up. The acquisition of Demilec is our most recent addition in our continued strategy to grow our downstream business. While there will be some cost-related synergies, the majority of the benefits will be seen over the coming years from our ability to pull through roughly 50 million pounds of polymeric MDI into more stable, higher margin formulations that are growing at a double-digit rate per year. By the end of 2018, we expect to achieve a run rate of approximately $15 million (00:08:32) of synergies, giving us an annualized run rate EBITDA in excess of $40 million. In addition, it's our intention to leverage our global MDI Urethanes platform to expand spray foam insulation systems in the global markets in Europe and Asia. Looking out to the second quarter, we would expect our MDI Urethanes business to be slightly down sequentially, but significantly up from levels of a year ago, as we anticipate further reductions of the short-term spike margins, given where we see Chinese polymeric margins today. Again, this will be partially offset by our seasonally stronger volumes and continued growth in our downstream businesses. Lastly, our MTBE business improved versus last year, and reported EBITDA of $16 million. As crude oil, gasoline margins remain steady, we would expect a similar result in the second quarter. Let's turn to slide number 5. The Performance Products segment reported EBITDA of $102 million in the quarter. Total volumes increased 10% for the quarter compared to the same period of a year ago. After a challenging second half in 2017, Performance Products is back on a good recovery track. The EBITDA of our more stable and higher margin derivatives businesses, which would include amines, surfactants and maleic anhydride, increased 25% versus a year ago. This first quarter and the year-ago period are comparable operating environments, so the earnings growth in these businesses can be described as a solid recovery. New product applications in the oil and gas drilling and oil recovery markets, agricultural applications, and lubes and gasoline additives are just a few end markets that we expect better than GDP growth. Looking towards the second quarter, I expect the underlying fundamentals of our derivatives businesses and Performance Products to show steady year-on-year growth, partially offset by some margin pressure in our upstream olefins and intermediates business. We expect second quarter to be equally strong with the second quarter of last year, and the first quarter of this year. However, as per our guidance in the past two quarters, we will see a $15 million to $20 million EBITDA hit due to a scheduled multi-year turnaround. Let's turn to slide number 6 and 7. Our Advanced Materials business reports EBITDA of $59 million, an increase of 9%. This business remains focused on growing its core specialty businesses and its specialty volume increased 4% in the quarter., continuing the positive trend we've seen over the last year or so. In fact, this quarter was a record EBITDA for our specialty business, and we expect these businesses to continue growing from the strong base. The revenue and EBITDA improvement in our specialty business is primarily driven by our expanded earnings in coatings, adhesives – our (00:11:51) coatings, additives, automotive composites and industrial adhesive sectors. Our aerospace and DIY consumer adhesive businesses are also continuing to show steady growth. Our commodity business, which includes the wind market, had minimal contribution to our EBITDA in the quarter. The growth we've seen this quarter in our specialty business has been driven by the investment we've made in innovation during the last couple of years. We expect to see this trend to continue. We will further invest in this business in order to add effects (00:12:25) to our portfolio and to grow into expanding markets with new and existing customers. We see this business as a solid platform for future growth and development. We continue to expect to see growth in our specialty business well in excess of GDP for the remainder of the year, and will expect earnings for this division in the second quarter to look similar to the first quarter. Let's turn to slide number 8. Our Textile Effects division reported EBITDA of $26 million, up 24% versus the prior year. The business continues to grow at above market rates, as total volumes were up 3%, which marks our eighth straight quarter of volume improvement. The industry (00:13:09) is demanding higher sustainability standards for the chemicals and dyes used in its products. This trend is clearly benefiting our global leadership position in these markets, where we sell a full range of products that meet our customers' ever increasing sustainability standards. Additionally, our global footprint is also allowing us to take advantage of an increased trend of our customers to source regionally in order to meet shorter fashion cycles. The improved EBITDA in this quarter was driven by the higher volume, lower fixed costs and the modest benefit of refunds during the quarter. Our longer-term view that this business will exceed $100 million in EBITDA with mid-teen margins in the next couple of years is unchanged. We would expect earnings for this division in the second quarter to be similar to quarter one. Before sharing some concluding thoughts, I'd like to turn a few minutes over to Sean Douglas, our Chief Financial Officer.
Sean Douglas - Huntsman Corp.: Thank you, Peter. Turning now to slide 9, in summary, each of our divisions reported meaningful improvement in EBITDA over the prior-year period. We see solid growth in our business. Our adjusted EBITDA increased by $145 million to $405 million in the first quarter of 2017 (sic) [2018], compared to $260 million in the prior-year [ph] period's (00:14:36) pro forma for the separation of our pigments and additives business. Overall volumes were up 9% and the increase in overall price mix well offset the overall increase in direct costs, even when adjusting for the remaining short-term spike in MDI. A stronger euro versus the US dollar resulted in a translation benefit of approximately $30 million versus the prior year. Compared to the prior quarter, our adjusted EBITDA increased to $405 million from an adjusted $360 million. The $45 million sequential improvement in adjusted EBITDA was largely driven by volume. The decrease in price quarter over quarter is largely resulting from the reduction in short term margin spike in MDI and due to overall product mix. We improved over the prior-year quarter by approximately $27 million because of planned and weather-related maintenance outages that occurred in the fourth quarter of 2017. We also benefited from foreign currency translation, largely from a stronger euro currency versus the US dollar. Turning to slide 10, we remain focused on preserving the investment grade profile of our balance sheet. We ended the quarter at the lowest net leverage in our history at 1.3 times net debt to last 12 months' first quarter adjusted EBITDA. This compares to last year when our net leverage ratio was 3.2 times. Our liquidity at the end of the quarter was approximately $1.25 billion. As we shared with you on our last earnings call, our board of directors authorized share repurchases of up to $450 million. Since then, and through April 19, 2018, we have acquired approximately 3.5 million shares, or have spent approximately $103 million at an average price of approximately $29.45 per share. Of this total, approximately 1.7 million shares were purchased during the first quarter, or $51 million, and the rest were purchased following the end of the first quarter. Given the relative value of our stock, we see these purchases as prudent use of free cash flow. As noted by Peter on April 23, 2018, we completed our acquisition of Demilec for approximately $350 million, subject to customary working capital adjustments. We funded this bolt-on acquisition out of available liquidity, including borrowing on our revolver and accounts receivable securitization facility. Our pro forma leverage ratio taking this into consideration is approximately 1.6 times. We see Demilec as a great fit to our downstream strategy within our urethanes business with significant synergies and future growth in earnings. We remain focused on generating consistent, strong free cash flow. During the first quarter of 2018, we generated free cash flow of $56 million, compared to $23 million in the year-ago period. Our first quarter is typically the lowest cash generating quarter due to a seasonal build in working capital. Our working capital metrics were similar to the prior year with days inventory lower by one day, and days receivable higher by a few days, largely because of increased sales in China and other jurisdictions, where typical payment terms are a bit longer. We are confident that we are on target to deliver between $450 million and $650 million of free cash flow each year over the next several years. We still expect to spend approximately $325 million on capital expenditures this year. With respect to cash taxes, our first quarter adjusted effective tax rate was 19%. We expect that our adjusted effective tax rate for 2018 will be between 20% to 22% and that our long term tax rate is still targeted between 23% to 25%. As noted last quarter, this long-term rate assumes a release of a portion of valuation allowances later this year. We still hold our 53% interest in Venator. I remind you that Venator is accounted for as held for sale on our balance sheet and as discontinued operations on our income statement. I look forward to our Investor Day on May 23, where we will be joined by each of our businesses and when we will have the privilege of sharing with you, in more granularity, the solid outlook we have for our business. Peter, back to you.
Peter R. Huntsman - Huntsman Corp.: Thank you, Sean. This past quarter is the best quarter in our history with the present configuration of businesses that we now have, yet I don't believe any of our divisions are at their potential. All of these divisions have plenty of room for growth and earnings improvement this year and in years to come. As I said last quarter, we fully expect all of our divisions to improve this year over the previous year. On the 23rd of May, we'll be presenting a more detailed outlook for the next three years. I believe that each of our operating divisions are uniquely positioned to show how they will achieve meaningful growth over this time period. We also expect to update and share our views on future cash generation and the sources and uses of these proceeds. I'd like to conclude with a few comments touching on some of the events of this past quarter. Our position in Venator is sound, and we continue to expect the fundamentals of the TiO2 industry to remain robust. We are in no hurry to sell our remaining 53%, and will do so when a more realistic value can be realized for this business. Regarding our free cash flow, we're well on track to generate between $450 million and $650 million of annual free cash flow annually over the next few years. As we outlined in our last call, we've started to buy in shares. In the past two months, we've spent over $103 million to buy in over 3.5 million shares at an average price of $29.45 per share. This past quarter, we closed on Demilec Inc., a downstream MDI urethanes consumer selling into the spray foam market. By year-end, this should be a greater than 25% margin, EBITDA integrated business with growth at better than 10%. Our priorities will be to continue to generate strong free cash flow, monetize our Venator shares and grow our core business into greater than global GDP. We will deploy our cash and focus on share buybacks, bolt-on acquisitions, and maintaining the strong balance sheet. Since our last Investor Day of March of 2016, we have accomplished what was then our stated plan and created substantial shareholder value. I expect plans and opportunities going forward to be even greater and create similar shareholder value. I look forward to seeing many of you there at that time. Operator, will you please explain the procedures for Q&A and open the line up for questions?
Operator: Thank you, sir. Please stand by for your first question. And your first question comes from the line of Kevin McCarthy of Vertical Research Partners. Please proceed.
Matthew DeYoe - Vertical Research Partners LLC: Hi, this is Matt on for Kevin. Good morning.
Peter R. Huntsman - Huntsman Corp.: Good morning, Matt.
Matthew DeYoe - Vertical Research Partners LLC: Can you talk a little bit about the maleic market? It seems like we're kind of continuing to recover from the brief period of oversupply, but we have some expansions coming down the pike (00:23:06) and then China, and then also potentially a few assets up for sale. So can you just provide a outlook for what you see there?
Peter R. Huntsman - Huntsman Corp.: Well, we continue to see the maleic business operating in the mid-20% to low-20% EBITDA to sales margins. I don't see the capacity coming into the market over the course of the next year or two as being anything that would diminish the long-term effect of the business. The business – when you say the business suffered from some overcapacity, I think when we look back at the performance of two years ago, the business was operating at about a 35% EBITDA margin. And while I'd never say that any chemical is operating at too high a margin, you obviously are going to be attracting new investment at those levels, and that, I think, was an artificial high in as much as a number of our competitors, I think two or three of them, simultaneously were down during that nearly one year time period. So as I look at maleic over the last 5 to 10 years and as I look out over the next couple of years, Huntsman has a very strong and low-cost position in North America, we do in Europe. We continue to invest in that business, and we'll continue to do so, and I see that as being a vital component of our Performance Products and continuing to operate in around that 20%, 20-plus percent EBITDA to sales margin.
Matthew DeYoe - Vertical Research Partners LLC: Okay. And then, we had heard about some operational issues in MDI during the quarter, specifically, Rozenburg, I think, is said to be operating below rate, though I don't think you declared force majeure. And then similarly, we kind of suspect Geismar might have had some issues, just given the freezing conditions experienced throughout January. Can you quantify any operational hits during Q1 for MDI that you might have had, if there were any?
Peter R. Huntsman - Huntsman Corp.: Yeah, I think most of the industry went through some phase of a freeze along the US Gulf Coast in that January, late January, early February. While our Geismar facility wasn't affected, some of the ancillary offsite suppliers of services were affected, and which subsequently affected our facility indirectly. And we also did have some issues again with an offsite facility in our Rotterdam MDI facility. I'd say that in the first quarter, it's fair to say that both of those upsets, the one in Geismar and the one in Rotterdam, probably cost us around $4 million or $5 million a piece during the quarter. So had we not had those, we probably would have done $5 million, $10 million better in the quarter. But, again, I would not say that either of those were terribly unusual, given that you usually have upsets like that during your winter months.
Matthew DeYoe - Vertical Research Partners LLC: Okay. Thank you.
Peter R. Huntsman - Huntsman Corp.: Thank you.
Operator: Thank you for your question. Your next question is from the line of Laurence Alexander of Jeffries. Please go ahead. Hello, is your line on mute? We don't hear you.
Daniel Rizzo - Jefferies LLC: Sorry about that. Dan Rizzo is on for Laurence. In Performance Products, could upstream intermediate EBITDA contribution go back to Q4 levels in Q2 or worse given the margin pressure and outage?
Peter R. Huntsman - Huntsman Corp.: Could upstream margins – no, I don't – no, and the intermediates, I don't believe that would be the case. In Q4, we were down for a prolonged period of time. We also were recovering from the residual effects of Hurricane Harvey, and I don't see that taking place. I think that Q2 is going to continue to be a very strong quarter. I would expect normalized type of earnings in the second quarter for Performance Products to be around $100 million, but then we'll be hit with the one-time effect of $15 million to $20 million EBITDA from the downtime, the multi-year T&I that we'll be taking.
Daniel Rizzo - Jefferies LLC: Okay. And then just with the acquisition, could just give us color on timing to capture the synergies?
Peter R. Huntsman - Huntsman Corp.: I think that it will probably be the latter part of the year when we have the full impact. Again, most of those synergies are that we will be taking our lowest valued MDI margin business, and moving that into the Demilec acquisition. That's obviously going to be a process that will require some requalifying and making sure that the supply chains and so forth don't cause any disruption, the changeover of supply doesn't cause any disruption to our customers. But when you look at what we're really trying to do here in the business, it's really gradually to take that commodity component MDI business and continuously uplift that, in this case, 50 million pounds of business into higher-margin applications. And so, it's a process that won't take place overnight. Now, obviously, I kind of see three components to the synergies in the business growth opportunities there. Really four. I see one as being the organic growth of what was the Demilec business, now Huntsman. And I think they have an aggressive growth that has been over the last couple of years growing at better than 10%. We see that continuing internally. Number two, we see the integration of taking low value component MDI and upgrading that through the Demilec routes to market. Number three, we see an opportunity to look at the SG&A, the overall cost of doing business and so forth, and while that number won't be nearly as large as the pull-through economics on MDI, there will be a synergy component there. And lastly, we're interested (00:29:17) to take the great marketing, sales expertise and so forth that Demilec has and take that to rapidly expanding markets around the world, something that Demilec has been unable to do. We already have routes to market in China, throughout Europe, throughout Central Asia and so forth. And so, we see all four of those steps as being vital to this business becoming a $40 million, $50 million EBITDA business here over the next year or two.
Daniel Rizzo - Jefferies LLC: Thank you very much.
Operator: Thank you for your question. Your next question is from the line of Frank Mitsch of Well Fargo Securities. Please proceed.
Jacob Hughes - Wells Fargo Securities LLC: Hi, good morning. This is Jacob Hughes on for Frank.
Peter R. Huntsman - Huntsman Corp.: Hey, Jacob.
Jacob Hughes - Wells Fargo Securities LLC: I think – hey. I think S&P and Moody's made some outlook changes earlier this month. Can you give an update on those discussions and the status of investment grade?
Peter R. Huntsman - Huntsman Corp.: Well, I'll let Sean comment on that. I would just say that I feel a tad bit personally – not that I'm biased towards the business or anything, but a tad bit like Charlie Brown in the fall time when he goes out and they set the football and he goes to kick it and they keep moving the football. I look at where our debt is, where our cash flow is, our cash generation, what we told the market we'd be doing three years ago, two years ago, one year ago, and what we're doing today. I mean, I'm glad for the upgrade, but I think we probably, in my humble opinion, probably should have had better than that, but I'll let Sean comment on that.
Sean Douglas - Huntsman Corp.: I think Peter sums it up well. I would say that, look, we've had great conversations with them. We feel that we're solidly in the range for investment grade. One of the agencies came out in their release and they specifically said Huntsman is solidly in the investment grade metrics. And then, they said we just want time. Look, I think we're – both agencies put us one notch away. Both of them have a positive outlook. And so, I think that says enough. I can't speak for what they're thinking, but I think from a Huntsman perspective, we deserve to be investment grade.
Jacob Hughes - Wells Fargo Securities LLC: Got it. Okay. And then on the buyback, you did over $100 million through the April 19th, which is a bit more than we were expecting. How do you think about the pace of buybacks here and versus the acquisitions, opportunities that you might be pursuing?
Peter R. Huntsman - Huntsman Corp.: Well, I think in our last call that we clearly outlined, we believe that we have got plenty of gunpowder, if you will, to be able to do both and to pursue both and maintain a strong balance sheet. And I think that we need to very carefully balance the demands of all three of those. I think that we will continue to assess the share buyback. I think that, again, I don't want us to be put in a trap where we're telling the market that we're going to buy X numbers of shares over the next 3 to 6 or 12 months. The board has given us an amount of money that we think over the course of the next year or two can and should be used judiciously to buy in (00:32:33) shares. And we'll do that as we assess the market from time to time. Having said that, I think that our priority remains that we've got to deploy capital that is going to create the greatest amount of value. And I think that as we look at the overall market today, in my opinion, I believe that many of the assets that are out there today are simply overvalued. And I think that it would be a mistake to be chasing a short-term acquisition that longer term is going to jeopardize our balance sheet or is going to be dilutive to our shareholders. And so, I think that we need to be disciplined in this sense. If we're going to pay higher than our trade multiple today, we need to make sure that there's growth, that there's synergies, that there's other things that'll make up for it, and that at the end of the day, these will be accretive to our shareholders. So I think that we need to continue to balance those, but we certainly don't want to paint ourself in a corner saying that we're going to be buying X amount in acquisition or Y amount in share buybacks in the next couple of quarters.
Jacob Hughes - Wells Fargo Securities LLC: Okay. Thank you.
Operator: Thank you for your question. Your next question is from the line of John Roberts of UBS. Please proceed.
John Roberts - UBS Securities LLC: Thank you. Can you hear me?
Peter R. Huntsman - Huntsman Corp.: Yes, we can.
John Roberts - UBS Securities LLC: Peter, any interest in a longer term ethylene arrangement, either contract, condo (00:34:02) arrangement? It seems like a relatively opportune time here for you to kind of get a little bit more integration in the business.
Peter R. Huntsman - Huntsman Corp.: Yeah, I think now if you're going to invest in ethylene, would certainly be an opportune time to do so. I would be really hard-pressed to see this company deploy its capital in upstream ethylene production. We've been there before. It's feast or famine, and I think that the direction that we're trying to go with ethylene production is that we've got a small unit that produces roughly 250,000 tons a year, 220,000 tons a year. It's an opportunistic unit, meaning that if it makes money for us, we'll operate it. We've shut that unit down twice in the last 20 years that we've owned it. If it's not going to make money for us, then we'll temporarily shut it down. If it makes money for us, then we'll be producing ethylene. I think over the course of the next couple of years, as we look at the spot market today for ethylene, as we look at the amount of ethylene coming into the market, I think it's going to be a buyer's market more than a seller's market. And we're going to be uniquely positioned as a buyer of nearly 1 billion – a consumer of nearly 1 billion pounds a year of ethylene to be able to take advantage of that. So I wouldn't – again, I'd never want to say never, but I couldn't imagine the scenario right now as I sit here of us investing in an ethylene facility.
John Roberts - UBS Securities LLC: And then secondly, is there a time limit on how long you can use held-for-sale accounting without actually selling?
Sean Douglas - Huntsman Corp.: I think Generally Accepted Accounting Principles are probably interpreted well by our auditors and by ourselves, but I don't think that becoming an issue here. I think as we sit here today, the intention is that we're still a seller, and we'll realize that when it makes sense in the market. So I don't see that as an issue.
John Roberts - UBS Securities LLC: Okay. Thank you.
Operator: Thank you for your question. Your next question is from the line of P.J. Juvekar of Citi. Please go ahead.
Eric B. Petrie - Citigroup Global Markets, Inc.: Good morning, this is Eric Petrie on for P.J.
Peter R. Huntsman - Huntsman Corp.: Eric, good morning.
Eric B. Petrie - Citigroup Global Markets, Inc.: I wanted to ask about your MDI capacity forecast of the 5% CAGR through 2022. Does that include any discounting of announced projects or similar ramp to full capacity of the nine months that you assume for your own capacity at Caojing?
Peter R. Huntsman - Huntsman Corp.: That is assuming that everybody that has announced in the industry comes on when they say they're going to come on at the capacities that they say they're going to come on, which I don't believe has ever happened in the history of the industry. But again, that's our assumption. I'm not here to discount what competitors may or may not do, but that is taking every publicly announced debottleneck expansion and assuming that it's all going to come on at full capacity, as stated publicly.
Eric B. Petrie - Citigroup Global Markets, Inc.: Okay. Following the completion of your Rotterdam and Caojing joint venture expansions, how does your capacity split change between the component or polymeric MDI versus your more downstream specialty MDI?
Peter R. Huntsman - Huntsman Corp.: Well, today that split would be in the mid to high-70s. And I would imagine that if we were operating – we get to a point later in the year, early next year, when we're operating at full capacity in Caojing, that split would probably drop down to the low-70s. And you lose a couple of points on that, but again, I also just want to make sure that the market doesn't have this perception that it's either low margin component or high valued differentiated formulation. I think that it's more of a line going from the bottom left hand to the upper right hand, along that line, there are going to be some component businesses and business opportunities, particularly, for instance, in North America, where it's a more valuable, higher margin, strategic, bigger volume business for us. In certain areas, it'll be component, then some of our downstream formulation businesses may be in Europe or Asia. So I don't want to leave the market with the impression that eventually we'll be at 100% all formulation. I'm not sure that's the right strategy. I think the right strategy is that you continuously want to be bottom slicing your MDI margin business and upgrading that. And some of that is going to be upgrading to higher value component. Some of that's going to be upgraded – most of that would be upgraded into higher value added formulation. And I believe that that formulation, the beauty of the formulation, while you may jeopardize some of the peak margin in that formulation, is that you will have higher and more stable margins on average through the cycle. And that ultimately is what we want to do, not just in Polyurethanes, but in Performance Products, and Advanced Materials, Textile Effects, to be able to have a total group of assets that are going better than GDP, and where you see a stable and consistent generation of cash and value.
Eric B. Petrie - Citigroup Global Markets, Inc.: Thank you, Peter.
Peter R. Huntsman - Huntsman Corp.: Thank you.
Operator: Thank you. Your next question is from the line of Jim Sheehan of SunTrust. Please go ahead.
James Sheehan - SunTrust Robinson Humphrey, Inc.: Good morning. Thanks for taking my question. Can you talk about your MTBE margins and how sustainable the margin improvement might be there?
Peter R. Huntsman - Huntsman Corp.: If you can tell me what the crude price is going to be and what the gasoline crack spread will be in the next couple of quarters, I'll tell you a 50/50 shot at (00:39:55) MTBE. I'm not trying to be glib, I just – just as a rule of thumb, technically, MTBE is a product that is sold into the gasoline market. The raw material for gasoline obviously is crude oil. The raw material for our MTBE is natural gas, North American-based natural gas liquids, methane going to methanol, butanes going to isobutanes, isobutylenes and so – and of course, some propylene. As I look at that, the wider the spread is between crude oil and North American gas liquids, the wider that spread is, the wider the MTBE margins are going to be. Now, there's going to be all sorts of variables in there, octane components and gasoline variables and so forth and so on. But as a rule of thumb, the higher crude prices are (00:40:46) ratio to North American natural gas liquids are, usually, usually, the better that is for MTBE. So I would say that if we're going to be looking at a future of WTI and Brent prices of around $60 to $70 a barrel, MTBE probably will look a little bit better than expected of 2018 and the guidance we gave earlier that it was kind of at a breakeven. But again, that's – as quickly as I said that, as you know, MTBE prices move minute to minute, it's traded like gasoline. As soon as I said that, I can be proven wrong, but typically, over the last decade, as a rule of thumb, I think that's pretty accurate.
James Sheehan - SunTrust Robinson Humphrey, Inc.: Great. And do you expect any outage impacts in the second quarter at your European MDI facilities?
Peter R. Huntsman - Huntsman Corp.: No, no, I wouldn't say anything that's material.
James Sheehan - SunTrust Robinson Humphrey, Inc.: Great. And how much was the benefit that you had in textiles from the refunds in the second – or do you get any more benefit in the second quarter for that, or how much was the benefit in the first quarter?
Peter R. Huntsman - Huntsman Corp.: No, the benefit in the first quarter was about $2 million and we may get $1 million or so in the second quarter, but I – it would be de minimis. I see the second quarter being pretty stable with the first quarter.
James Sheehan - SunTrust Robinson Humphrey, Inc.: Thank you.
Peter R. Huntsman - Huntsman Corp.: Thank you.
Operator: Thank you for your question. Your next question come is from the line of Hassan Ahmed of Alembic Global.
Hassan I. Ahmed - Alembic Global Advisors LLC: Good morning, Peter.
Peter R. Huntsman - Huntsman Corp.: Hey, good morning, Hassan, how are you?
Hassan I. Ahmed - Alembic Global Advisors LLC: Very well, thank you. Peter, in the past, you've talked about how long it takes to sort of start to finish, set up a MDI facility, and even once an MDI facility is mechanically complete, it could take as much as two years for the facility to be sort of at optimal operating levels. So with that in mind, you talked about a dip in MDI margins, Q4 to Q1. Obviously, I would imagine some of these facilities that had some sort of short-term issues coming back on line. But obviously, you had some greenfield facilities coming on line in the Middle East in particular. Have you guys seen that product in the market now? Or asked differently, the facilities that came on line in 2017, are they in your view fully sort of running at optimal operating rates?
Peter R. Huntsman - Huntsman Corp.: Well, I obviously can't speak for what the competition might be doing in the Middle East, but I believe from everything I've heard from what they've said publicly, that they are running that facility full-out. And I would remind you, Hassan, that that is a component capacity, all the MDI coming out of that is component. And so, while I think it may have an impact on the wider component market, we're not seeing a great deal of impact and (00:43:58) competition, obviously on the downstream business. Now, there might be a knock-on effect that you've got some component going into a market and then other competitors are taking their component business and moving it, perhaps into the formulations and so forth. But by and large, on the non-component business, which is the vast majority of our MDI sales, we're not seeing a lot of impact on that competition. But from everything I've heard and from everything that I've anecdotally seen within our own business, I believe that they're running at or very near capacity and then I think that they probably started up initial from, again, just news reports (00:44:34) about a year ago. And so, I think that's probably – that seems about right.
Hassan I. Ahmed - Alembic Global Advisors LLC: Very clear. And as a follow-up, Peter, you guys obviously talked about a recovery in the Performance business last year, and it seems, I mean in Q1, we saw that. I'm just trying to get a sense of near to medium term, what a sustainable margin level would be. I mean, is this sort of 17%-ish EBITDA margins within Performance kind of how we should be thinking about steady Eddie (00:45:07)margins near to medium term in that segment?
Peter R. Huntsman - Huntsman Corp.: I think that the longer term and, again, I'm not trying to evade a direct answer here. I know that the divisional president of that for our Investor Day here in two or three weeks' time is going to be getting into the next two or three year outlook on that. So I don't want to steal any of his thunder. But I think in that business, I've always thought of that business as kind of being a high-teens sort of an EBITDA business. And I think that when you look at it, where it was a couple of years ago, where it was right around that – hovering around that 20% margin, our objective over the next two years would be to take that business. And when I look at when that business was operating at its peak of around 20%, 21% margin a couple of years ago, that largely was on the back to advantaged North American gas going into ethylene. And it was also around the huge demand of the wind and the wind markets were a lot of the amines and so forth were going. And we also saw that that 30- plus percent margin in maleic. So when I kind of asked myself to get back to the 20% margin, do we need to see maleic back at 30% EBITDA margin? Do we need to see wind recover? And do we need to see ethylene go to the margins where it was two or three years ago? If that's our basis for getting back to 20% margin, Hassan, I wouldn't believe it. So our challenge is to convince people like you that we're going to get back to that 20% margin by looking at the markets, looking at where we can build up our amines markets, our surfactants, getting less and less dependence on personal care, detergents and more dependent on the crop protection, on motor oils, on gasoline additives, where we can look at maleic going further downstream, amines going further downstream, where we're less dependent on olefins and so forth. And so, longer term, I think this business in the next two years ought to be operating at darn near 20% EBITDA margins, and we ought to be doing that without the dependency of competitors that are not operating at full capacity or dependency on a single application as we were at kind of the last time that happened. So I – personally, I'm – if I – I think I said two or three years ago, if there's one business that I could break out from the rest and own it privately, it would be Textile Effects, and that was at the time that everybody was telling us just give it away, it doesn't have a future. And I look at the growth in Textile Effects. I look at Performance Products out over the course of the next couple of years, I think it's going to rival our MDI business in growth and in opportunity. Now that might be a challenge for Tony Hankins to hear that. But nevertheless, I think that when we look at Performance Products, I think it's got a very stellar future, and that future can't be based on a single strong product.
Hassan I. Ahmed - Alembic Global Advisors LLC: Understood. Understood. Very clear, Peter. Thanks so much.
Operator: Thank you very much. Your next question is from the line of Mike Thyssen of eBank Capital Market (00:48:24). Please go ahead.
Unknown Speaker: Hi, good morning. This is Connor Cody on for Mike (00:48:29). So I was just wondering your volume in differentiated MDI has been in the mid-teens the last three quarters and is that a good rate going forward? And what have been the strongest geographies and end markets to drive that growth?
Peter R. Huntsman - Huntsman Corp.: Well, I think that what we've been doing in the past with our differentiated formulation business, I think that we showed you a chart last quarter that kind of showed a solid base to the business, which largely was that formulation downstream business. And I think that that sort of margin and so forth should continue going forward. And I would hope with further downstream focus and derivatization of products and so forth that we ought to see a gradual improvement on something like that. Businesses like this typically don't improve by 5%, 6% a year. They typically improve incrementally, but they hold the gains that they make, and that's, in my opinion, the sign of a real quality business. And so, as we look at that MDI business moving further downstream, we want stability. We want cash generation, and I think that we're consistently building on that. We'll take advantage of the component fly-ups and spikes and so forth and we'll call those out like we did last quarter. But, I don't think that that necessarily is the basis of our future value creation. And where are we seeing it? I think that we're seeing it really across the board, but particularly in Europe and in North America. Those are the businesses and (00:50:02) more developed end use applications and so forth and I think that those are the businesses where we'll continue to see that formulation and the reward for that differentiation. It's not to say it won't happen in China. It's just that – I think that you look at a number of our system houses and where we have those downstream polyol assets and so forth, and TiO2 assets and what have you, it's largely Europe and North America.
Unknown Speaker: Great. Thank you very much.
Peter R. Huntsman - Huntsman Corp.: Thank you.
Operator: Thank you for your question. Your next question is from the line of Matthew Blair of Tudor, Pickering, Holt. Please proceed.
Matthew Blair - Tudor, Pickering, Holt & Co. Securities, Inc.: Hey, good morning, Peter and John.
Peter R. Huntsman - Huntsman Corp.: How are you?
Sean Douglas - Huntsman Corp.: Hello.
Matthew Blair - Tudor, Pickering, Holt & Co. Securities, Inc.: Good, good, thanks. Peter, you mentioned that your Caojing MDI plant, you're looking at a nine month startup process here. It's been four months since the start of the year. Could you disclose what percent utilization that that plant is currently at?
Peter R. Huntsman - Huntsman Corp.: Well, I think it's safe to say that today we're getting about 30% of our potential volume out of that plant today. Remember, that's a joint venture facility. So we've got some Chinese and partner offtake agreements and so forth in other parts of that plant, and I think that you're probably – when we talk about starting up a facility, we're probably five months or so into that process. So that's about where we would expect to be at this time, and we expect to see that ramp up. And it's not only the volume that you want, but it's also the quality of the product that's being produced.
Matthew Blair - Tudor, Pickering, Holt & Co. Securities, Inc.: Got it, got it. And then, Venator is sitting at $18 a share here. It sounds like you're going to be pretty opportunistic in monetizing the remaining stake. I mean, if we end the year and it's still at $18 a share, should we expect that you'll still hold that 53%?
Peter R. Huntsman - Huntsman Corp.: Well, I wouldn't want to speculate on that now, but I think that Venator is a great asset. TiO2 fundamentals, as I see it out over the course of the next two or three years, is, I think, going to remain strong. I like the macro effects that you see in that industry of consolidation, of discipline, and I think that we continue to see downstream growth taking place in demand. Venator is a very competitive company, and I think that we'll have an opportunity to sell those shares at a higher, more realistic value here in the coming quarters. But, no, I mean, personally, I think it was publicly reported a few weeks ago that I was buying the stock personally at $19.50. So it's – I'm certainly not a seller at these levels.
Matthew Blair - Tudor, Pickering, Holt & Co. Securities, Inc.: Great. Thank you very much.
Operator: Thank you. Your next question is from the line of Aleksey Yefremov of Nomura Instinet. Please go ahead.
Aleksey Yefremov - Nomura Instinet: Good morning. Thank you. Peter, you mentioned some MDI component price declines in Europe recently, and I think North America prices are about flat. In this environment, do you expect systems pricing to rise in the remainder of 2018 in North America and Europe?
Peter R. Huntsman - Huntsman Corp.: Well, I think that by and large, they'll be steady, but again, I want to just – I want to have this perception out there that our systems and our formulation businesses, some of our products that we're selling under that title of systems and formulations, some of those products will have less than 50% MDI as part of the formulation. And so, when we talk about pricing, we're talking about hundreds of different price points, thousands and tens of thousands of different SKUs, batches, formulations and so forth. And so, when we talk about (00:53:58) the prices are rising or dropping, it's kind of – I kind of think back to this monolithic polyethylene and polypropylene where the entire tide goes up or goes down simultaneously. I think that as you're able to create value with a customer, you're creating value, and that value isn't necessarily a molecular value. It's the effect that your product has on the customer's end use application. And if we're doing our job in sales and marketing and pricing, we ought to be valuing and pricing that product around the value given to the customer, not necessarily what's happening with capacity utilization, or even raw materials. So I would say that the macro condition is fairly stable, but I would hope that we're always out trying to create greater value, thus greater pricing to both Huntsman and to our customers.
Aleksey Yefremov - Nomura Instinet: Thank you, Peter. And just to clarify your outlook for Polyurethanes segment, you talked about a small decline in the second quarter, and I think in the remainder of the year, you mentioned there would be -any declines could be offset by ramp of Caojing facility. So should we expect sort of EBITDA where you are (00:55:16) roughly in the first half and Polyurethanes to be about the same as in the second half, including any effect of seasonality, et cetera?
Peter R. Huntsman - Huntsman Corp.: Goodness, my forecasting is usually good for about 48 hours, and so I – as I think about this, but I think in Q2, as we look at it, we look at component, that component price, and mostly in Asia, a little bit in Europe, coming off probably $20 million from the first quarter. We see a chunk of that being offset by an improvement in our formulation businesses downstream, margins gradually improving, and more tonnage coming available to us in China. So as I look between now and the end of the year, I see fairly stable markets, but I feel I've got a fairly decent take on Q2. Q3 and Q4, you'll have to listen to the next conference call, I guess.
Aleksey Yefremov - Nomura Instinet: Got it. Thank you, Peter.
Operator: Thank you for your question. Your next question is from the line of Roger Spitz of Bank of America. Please proceed.
Roger N. Spitz - Bank of America Merrill Lynch: Thank you and good morning.
Peter R. Huntsman - Huntsman Corp.: Hey, Roger.
Roger N. Spitz - Bank of America Merrill Lynch: >: How are you?
Peter R. Huntsman - Huntsman Corp.: I'm well.
Roger N. Spitz - Bank of America Merrill Lynch: Did I hear correctly that Q1 2018 MTBE EBITDA was nil?
Peter R. Huntsman - Huntsman Corp.: Q1 MTBE EBITDA was, I think, was $16 million.
Roger N. Spitz - Bank of America Merrill Lynch: Oh, $16 million. I'm sorry. I misunderstood.
Peter R. Huntsman - Huntsman Corp.: $16 million.
Roger N. Spitz - Bank of America Merrill Lynch: $16 million, okay.
Peter R. Huntsman - Huntsman Corp.: Yeah, which is the best it's been for several quarters, home run (00:56:56).
Roger N. Spitz - Bank of America Merrill Lynch: In Advanced Materials, I think you still have some BLR, and that was included in the group that was – EBITDA was minimal. Was BLR itself minimal, or perhaps because you use that downstream, you're not even including that in the commodity end of Ad Mat EBITDA?
Peter R. Huntsman - Huntsman Corp.: Yeah, I think BLR, we – typically, as a company – I'm not a big fan of transferring products down at a cost. I like to transfer product components at market, so that you know what each component – how much value you're creating. So when we talk about our BLR business, even if we're using it internally, we like to try to account it as a separate group. So I think it's safe to say that BLR, whether we're using it internally or externally, it was a de minimis amount of EBITDA.
Roger N. Spitz - Bank of America Merrill Lynch: Got it. Thank you very much, Peter.
Peter R. Huntsman - Huntsman Corp.: Thank you, Roger.
Operator: Thank you. Your next question is from the line of (00:58:02) of JPMorgan Asset Management. Please proceed.
Unknown Speaker: Thanks, good morning.
Peter R. Huntsman - Huntsman Corp.: Good morning
Unknown Speaker: Just a couple of questions, obviously, coming from the bondholder side, things look great. You've got the upgrades, you're close to investment grade. Your metrics are already there. Spread levels are – there's probably a couple points of upside, compared to some BBB, so I look at all that and I feel pretty good. I guess my concern, even though I'm not an equity analyst, comes from the fact of you're having – the equity is down the most it's been down almost any day today, and I know the sector is down, but you're down 15% year to date. But just – I don't know why exactly, I'm sure you might not know, but the market just doesn't seem to care. Your enterprise value to EBITDA is below 6 times. My concern as a bondholder is balancing that desire for investment grade versus getting, I guess, frustrated to the point with your equity that you do something bigger. Bigger isn't always bad, but leveraging, things like that. Can you just talk to maybe, I don't want to say leverage targets, but just given what's going on and it's been going on for a little while now, what, if anything, I guess, I should be worried about as a bondholder? Would you – are you okay biding your time and giving the market time to realize that there is value here? Or I guess – I'm just trying figure out how you look at this and if it's changing your mindset at all.
Peter R. Huntsman - Huntsman Corp.: Well -
Unknown Speaker: Kind of like with (00:59:30) the Venator situation, you don't want to sell now, but -
Peter R. Huntsman - Huntsman Corp.: Yeah.
Unknown Speaker: Yeah. What if it just languishes there?
Peter R. Huntsman - Huntsman Corp.: Yeah, I am my father's son. And so, if I was not frustrated with the share price, regardless of where it is, I would be genetically mutating or something like that. But I think that as you look at the overall business – I'm just a fundamental believer. That's why I refer to my closing comments. Looking back on Investor Day of two years ago, March of 2016, we were trading at $9 or $10 a share and people were wondering if we'd ever hit $15, let alone $20. And here we are – well, yesterday, I believe, $30. And I think that as I look out over the next two or three years, I believe that this company, doing the right thing, sticking to the discipline of generating cash, deploying capital smartly, making sure that our organic growth remains intact, and delivering consistent results, meeting or beating the consensus of the market, I believe that there's, over the next couple of years, there's another $20 in our share price that can be achieved. And so, I think the worst thing we can do is try to panic at the whims of hedge fund managers or people that are redeploying cash into some other investment pool or whatever. Am I frustrated with the multiples of our stock price ratio to our EBITDA? Of course, I am. I have been since we've been public. But, again, I don't know if you'd want a CEO that wasn't passionate about that. So I think there's always room for improvement, but I think the worst thing you can do is try to do a – try to resolve your long-term strategy with a short-term fix. And so I – that's just fundamentally, and I think just look at our track record. And for some reason, there's this perception out there that Huntsman is always out trying to buy the next big billion dollar relever (01:01:33) and everything. Look at us since we did the ICI deal, which is now going on nearly 20 years ago. We've not done – we did Rockwood and we did that for the express purpose when (01:01:45) we bought it to combine it with our Tio2 business and to spin it off. And that's exactly what we did, and we created over $1 billion in doing that. But, I mean, aside from that, we've not been out in the market doing big deals for several years. I think we've been very consistently focused on cash generation, downstream integration, improving our margins and achieving our results. I think we are going to stick to that.
Unknown Speaker: Yeah, well, certainly as a bondholder, that's obviously what we want to hear. I guess just quickly and -
Peter R. Huntsman - Huntsman Corp.: And as an equity – frankly, as an equity holder, that's what I think I need to be doing as well.
Unknown Speaker: Yeah, and I would agree. I think – and I know you can't speak for the agencies, but your pro forma Venator sale, you're under 1 times levered, is there – do you view as 2 times or less kind of still in the range of what you would view as investment grade or do you have a number like that or not?
Peter R. Huntsman - Huntsman Corp.: Well, I think it's around 2. I think it is a – well, I don't think that it's a magic, at 2.1, you're out, at 2.0, you are in. I think that it's – I think it's around 2%, but I also think that it's the direction of the business, your dedication to generating cash. It's your focus on growth, on maintaining that level. And it's all about consistency and achieving the results. So I'm not sure that it's right at a magic 2.0, I'll send you (01:03:05) investment grade. If that was the case, we should have been investment grade six months ago.
Unknown Speaker: Right, right. Okay. Well, I just wanted to get your thoughts. Appreciate it.
Peter R. Huntsman - Huntsman Corp.: Okay, well, thank you. Operator, I think we're at the top of the hour. Why don't we take one more question? And I just want to be respectful of people's time.
Operator: Thank you, sir. Your final question is from the line of Bob Koort of Goldman Sachs. Please go ahead.
Christopher Evans - Goldman Sachs & Co. LLC: Thanks for squeezing us in. This is Kris Evans on for Bob. I was hoping, Peter, you could give some context to some of the surging prices we're seeing in the commodity grade liquid epoxy resins. I know you guys are downstream in the more specialty end, but is there any flow-through costs or benefits you might see or do you have any optionality to maybe shift some capacity to where prices are surging?
Peter R. Huntsman - Huntsman Corp.: We might have a little bit of capacity to do that. That's not something I'd want to do longer term. As I look at the number of players around the world, particularly in Asia that are in that upstream BLR market, boy, for every month that I was happy that I was in those applications, there's 11 months when you wish you were out of them and you're just getting clobbered. So I – if we have that ability to shift something short term and walk away from the adhesives or walk away from the sealants or walk away from DIY or aerospace or something like that, I just think fundamentally, Advanced Materials, and I think you'll see this again in Investment Day (sic) [Investor Day] (01:04:35), I think we're shaping up to have the best year we've ever had in Advanced Materials in 2018, barring a major economic issue that's taking place. And I think that we look at 2019, 2020, and the ramp-up of aerospace, the ramp-up of what we're seeing in the market, the Nanocomp Technologies and taking those to markets and so forth and moving further downstream, I just don't see us shifting over and taking short-term advantage of BLR applications. By the time, we were able to do that, shift over, it'll probably be gone.
Christopher Evans - Goldman Sachs & Co. LLC: Got it. Thanks. And then going back to MDI, in your slides, you put out some CAGRs for demand and supply out to 2022. If we were to look at maybe nearer term, something like 2019 or 2020, how might those CAGRs on supply and demand change?
Peter R. Huntsman - Huntsman Corp.: I'm not sure that they're going to change appreciably. Bear in mind that when we forecast our numbers, you're looking at these projects that are 100,000 tons, 200,000 tons, 300,000 tons, all coming on in one fell swoop, one quarter. And even if it's a debottleneck, you're not going to see products – you are not going to capacity ramp up in a matter of weeks. It'll come on over the course of a couple of quarters. You've got qualifying, you've got a whole bunch of different issues and so forth, not just operating issues, but at the customer level as well of qualifying those areas (01:06:06). So it's rather a lumpy 1% here, 1% there, but as you look at it across the board, I think that it's going to be fairly consistent. If there's anything – again, this is just my opinion. If there's anything, I think that when you look at MDI growth, that we're seeing at (01:06:30) 6% growth globally, if anything over the last year or two, that's been rather conservative. And I think on the other hand, when we factor in all the capacity that's coming in, all these announced debottlenecks and plant conversions and everything, we're factoring that every one of those come in on time, they all come in rather on budget, right at specification, right as planned, I think that may be a little ambitious, and I think that our industry growth rates might be a little conservative. So I think there might – when we look at that CAGR and as we look at that the capacity, demand and the supply, I think that it may be a little tighter than what we're saying, but that's just kind of anecdotally my opinion on this.
Christopher Evans - Goldman Sachs & Co. LLC: Thanks, Peter.
Peter R. Huntsman - Huntsman Corp.: Thank you.
Operator: Thank you very much. I would now like to turn the call over to Peter Huntsman for the closing remarks.
Peter R. Huntsman - Huntsman Corp.: That's it, and I've said more than I should. So thank you all very much for joining us and we look forward to seeing you at our Investor Day on the 23rd of May. Thank you.
Sean Douglas - Huntsman Corp.: Thank you.
Operator: Thank you very much, indeed. Thank you for joining today's conference, ladies and gentlemen. This concludes your presentation. You may now disconnect. Good day.